Operator: Greetings, and welcome to the Piedmont Office Realty Trust Incorporated Third Quarter 2023 Earnings Call. At this time, all participants are on a listen-only mode, and the floor will be open for questions and comments following the presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Laura Moon. Ma'am, you may begin.
Laura Moon: Thank you, operator, and good morning, everyone. We appreciate you joining us today for Piedmont's third quarter 2023 earnings conference call. Last night we filed our Form 10-Q and 8-K that includes our earnings release and our unaudited supplemental information for the third quarter that is available for review on our website at piedmontreit.com under the Investor Relations section. During this call, you will hear from senior officers at Piedmont. Their prepared remarks followed by answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements address matters, which are subject to risks and uncertainties and therefore actual results may differ from those we anticipate and discuss today. The risks and uncertainties of these forward-looking statements are discussed in our press release as well as our SEC filings. We encourage everyone to review the more detailed discussion related to risks associated with forward-looking statements in our SEC filings. Examples of forward-looking statements include those related to Piedmont's future revenues and operating income, dividends and financial guidance, future financing, leasing and investment activity and the impact of this activity on the company's financial and operational results. You should not place any undue reliance on any of these forward-looking statements and these statements are based upon the information and estimates we've reviewed as of the date the statements are made. Also on today's call representatives of the company may refer to certain non-GAAP financial measures such as FFO, core FFO, AFFO and same-store NOI. The definitions and reconciliations of these non-GAAP measures are contained in the earnings release and in the supplemental financial information, which were filed last night. At this time, our President and Chief Executive Officer, Brent Smith, will provide some opening comments regarding third quarter operating results. Brent?
Brent Smith: Thanks, Laura, and good morning, everyone. Before we get into the call, I would be remiss if I did not acknowledge that you all heard a different voice reading the introduction this morning. As most of you know, Eddie Guilbert, our EVP of Finance and Treasurer; and someone we all proudly call a friend and esteem colleague has voluntarily resigned from his position at Piedmont. Eddie has been one of our most trusted, dependable and dedicated teammates for over 16 years, and he made immeasurable contributions towards the advancement of Piedmont. He will be sorely missed by all of us. Eddie will stay on as a consultant for a period of time to ensure a seamless transition. And Laura Moon, our Chief Accounting Officer; and Jennifer Heneisen, our VP of Financial Planning and Analysis will be taking on most of Eddie's responsibility. Okay. So now on with the quarterly call. I want to thank everyone for joining us today to review our third quarter results. In addition to Laura on the line with me this morning are George Wells, our Chief Operating Officer; Chris Kollme, our EVP of Investments; and Bobby Bowers, our Chief Financial Officer. We also have the usual full complement of our management team available to answer your questions. I'd like to start with our leasing results, both what was completed during the quarter, as well as some significant activity that was completed during October. Total leasing for the third quarter was approximately 302,000 square feet and included roughly 170,000 square feet of new tenant leasing, our 11th consecutive quarter of new tenant leasing at/or above pre-COVID levels, resulting in net absorption during the third quarter. The average sized lease executed was approximately 13,000 square feet with a weighted average lease term of approximately seven years and reflected double-digit roll-ups on renewals on both a cash and accrual basis. As anticipated, same-store NOI on a cash and accrual basis continued to strengthen during the third quarter as new leases commencing and/or those with expiring abatements began to outweigh expiration that occurred earlier in the year. All in all, it was another solid quarter of leasing and perhaps the most exciting news occurred just after the end of the quarter, and that is the execution of over 600,000 square feet of leasing thus far in October. The bulk of that leasing related to the renewal of the largest of the upcoming US bank lease expiration. That being US Bank's renewal of its entire 447,000 square foot headquarters location at our lead gold US Bankcorp Center asset in downtown Minneapolis. We are very pleased with the outcome with our largest tenant and strategic financial partner. While it was a lengthy process we were grateful of the bank, which has been an anchor tenant the building for the past 20 years, has chosen to renew with us for another 10 years. George will give some additional color on this outstanding lease in a moment. In addition to the US bank, the October activity also included a sizable new tenant lease with GE Venova at Galleria on the Park in Atlanta, continuing to fill the vacancy of the project and taking the lease percentage at our Galleria 600 building from a low of 34% in 2021 to approximately 93% leased today. I want to pause here for a moment and take note for investors that the Atlanta Galleria project is a great example of our strategic operating formula at work. While the buildings were initially 1980 and 1990 vintage assets, we have reimagined, remodeled and redeveloped the 2.1 million square foot project over the past several years and generated a substantial amount of leasing. At the project, we've experienced approximately 250,000 square feet absorption and rental rate growth of more than 10% in the last 18 months and now stand at roughly 90% leased. I would add that we have about 200,000 square feet of vacancy remaining at the project with continued strong demand. It's an example of how our amenitized, well-located, high-quality assets continue to lead their respective submarkets and leasing activity. I believe public investors need to understand of the top 5 to 10 office assets in any given submarket, continue to perform very well despite the market malaise. Finally, the strong start to the fourth quarter leasing reinforces our optimism to reach our goal of approximately 87% leased at year-end nd demonstrates the continuing demand for highly amenitized, well-located office space owned by a sustainability focused and financially stable landlord. Returning to our operating results, we continue to experience growth in property operating income as compared to the prior period. However, that growth was offset by continued elevated interest costs, which Bobby will discuss further. In summary, we continue to be optimistic about our value proposition for our customers and our ability to garner outsized demand from small- and medium-sized businesses as well as larger non-tech corporate tenants. We also continue to be encouraged by large corporations increasing their return to office stand. We're starting to see many larger primarily technology-related tenants that initially seized upon the hybrid Flex Works model now beginning to realize the productivity and collaboration lost outside the office. One of the most notable return to office announcements being made this quarter by Zoom in addition to other announcements and comments from Salesforce, Amazon and Google to bring team members back to the office to collaborate. So while fundamentals will continue to remain challenging and select submarkets, high-quality assets are performing well. The lack of leasing is being witnessed predominantly at lower-quality B and C assets, which are experiencing the majority of the reported vacancies and subleasing availabilities. As JLL recently reported, after analyzing its vast data set of office buildings, comprising over 2.7 billion rentable square feet across the top 25 MSAs 50% of the sector's vacancy is concentrated in the bottom 10% of the office stock. I want to say that again, 50% of the sector's vacancy is concentrated in the bottom 10% of the office stock. So while some of Piedmont's assets may incur temporary vacancy as some larger tenants rightsize their space, would you not own assets positioned in this lower tier of the market. And after leasing almost 7 million square feet since the pandemic, I believe we've demonstrated an ability to backfill vacancy with new tenants despite the difficult market backdrop. Switching topics, I want to note that we received our new grade scores during the quarter. This was only our second submission and I'm very pleased to report received the highest sustainability rating of 5 stars, and our second Green Star rating based on 2022 performance. At this time, I'll hand the call over to George, who will go into more details around the corner.
George Wells: Thanks, Brent. Good morning, everyone. Demand for Piedmont's high-quality assets has produced another quarter of solid operational results. As we've seen for the past two years, small users from a broad range of industries are fueling our leasing success outside of one full floor new deal in Minneapolis that I'll highlight in just a moment, The average size of new deal activity was around 6,500 square feet. These tenants are attracted to our competitively priced offerings, setting their ease of accessibility, vast amenity-base, unique tenant engagement programming and best-in-class conference facilities. Overall, this quarter, we had another strong leasing performance with 45 lease transactions completed for just over 302,000 square feet of total overall volume. As Brent noted earlier, 170,000 square foot or more than half of that total was related to new tenant lease activity and in line with our pre-COVID quarterly average and represent 7% of our overall direct vacancy. Continuing with operational metrics, our lease economics were also quite favorable with 11.7% and 10.3% roll-up or increase in rents for the quarter on a cash and an accrual basis, respectively. Our weighted average lease term achieved on new lease activity for the quarter was over nine years. Due to our leasing success and low-level expirations, our lease percentage increased by 50 basis points to end the quarter at 86.7%, and nearly 80% of new tenant lease activity occurred in our Sunbelt portfolio, where almost 70% of our vacancies reside. Retention rates remain consistent coming in at 70% and no doubt a reflection of both our customer-centric service approach and high-quality commute worthy portfolio. Leasing capital spend for the quarter was approximately $6 per square foot per lease year in line with our average for the past several quarters. Sublease availability has stayed steady for the past three years and today sits at 4.6%. Lastly, 11 of our customers expanded this quarter for a total of 38,000 square feet compared to four contractions of 20,000 square feet, yielding a net gain of 18,000 square feet. Now I'd like to highlight a few accomplishments and announcements which occurred in some of our operating markets this quarter. Starting off with Minneapolis, on to our largest customer in Piedmont's portfolio US Bank. Our downtown LEED Gold US Corp Center, which was just recognized as a 2023 International TOBY award-winning building serves as the bank's global headquarters, and we're very pleased that our long-term relationship will continue under a 10-year lease extension for all of its base for 447,000 square feet. As Brent noted, this lease was signed after quarter end. Though this deal is flat on a cash flow basis, it represents a positive roll-up on accrual basis and a strong commitment to downtown, but one of Minneapolis largest employers. Unfortunately, and as we foreshadowed in the past earnings calls, the bank will be moving a 340,000 square foot suburban hub from our LEED Meridian Gold Crossing Complex and moving a few miles away into its Excelsior classic location. As you may already know, we also own a building within this well-planned rebuilding complex, which was developed around a one-acre park with a full range of on-site and market competitive amenities and is easily accessible and highly visible from the highway. So the bank is still in its planning stage. We've made it very clear to them that should they need additional space, our Excelsior building will soon be vacated by a large building user there and become available during the first quarter of next year. As an aside, we currently plan to take our Excelsior building off-line in the first quarter of 2024 to modestly reposition this asset for a multi-tenant lease-up strategy as smaller users continue to upgrade into high-quality availabilities vacated by large corporate users. And lastly, it's worth highlighting that the largest third quarter new deal in our portfolio was executed right here in the Minneapolis Metro. Our LEED Gold Crescent Ridge asset secured a 32,000 square foot headquarters lease with a financial services company. Needless to say, we're excited about the increased momentum we're experiencing in this market. Atlanta, our largest market at almost 5 million square feet and generated 28% of our company's ALR captured the most activity this quarter with 22 deals accounting for 153,000 square feet, of which nearly half were new leases. Galleria on the park located in the northwestern submarket again, was the main driver this quarter. And with the post-quarter execution of GE Vernova Southeast US hub, its lease percentage now is up in the low 90s, giving us the confidence to continue pushing rental rates. Our next largest market, Dallas also experienced strong demand, second most within our portfolio. A total of 15 deals were completed for almost 100,000 square feet with over half representing new deal activity. According to the CBRE research third quarter report, Dallas continues to outperform the US and other large metros and employment growth, posting an impressive 4.3% annual growth rate. Our projects here are well positioned to capture Dallas' growing appetite for high-quality space.  Coming back to our overall portfolio, we remain positive about our future near-term leasing trends and operational performance. Our leasing pipeline remains healthy with over 600,000 square feet already signed this month with a new 77,000 square foot lease with GE Vernova and 447,000 square feet renewal US bank being the material transaction. Also this quarter, leasing activity continues to be at the same healthy pace we've seen for the past several quarters.  Proposal activity as well as in line with our trailing 12 months coming in around 2 million square feet. With a limited amount of rent roll expired during the fourth quarter, we expect positive net space absorption for the rest of the year, resulting in an anticipated year-end lease percentage of around 87%. And I'll now turn the call over to Chris Kollme for any comments on investment activity. Chris?
Chris Kollme: Thank you, George. I'll be brief, as generally speaking, market activity remains muted, given the extraordinarily challenging financing environment. However, I did want to provide a quick update on our two assets in Houston, which have been under contract. Both sides made every effort to execute, but at the end of the day, the buyers were unable to secure a suitable capital structure and we recently agreed to terminate the transaction. We'll continue to explore other alternatives for the potential disposition of these assets at a later date. As for the balance of our activity, we continue discussions on select non-core assets, including some of our non-strategic land parcels, but it's far too early to speculate, given the current market backdrop. As always, we'll keep you informed of any material activity on this front. As we have said now for several quarters, any resulting sale proceeds will be earmarked for the reduction of debt. With that, I'll turn the call over to Bobby to review our financial results. Bobby?
Bobby Bowers: Thanks, Chris. While we'll be discussing some of this period's financial highlights today, I encourage you to please review the entire earnings release, the 10-Q and the accompanying supplemental financial information, which were filed yesterday for more complete details. Core FFO per diluted share for the third quarter of 2023 was $0.43 per share versus $0.50 per diluted share for the third quarter of 2022, with the current quarter reflecting approximately $0.08 per share of increased interest expense as compared to the third quarter of last year. The dilution related to the higher interest cost was partially offset by the operational growth that Brent alluded to, resulting from successful leasing efforts, rising rental rates and asset recycling over the past year. As previously announced, given the significant increase in interest costs that we're all currently experiencing, we reduced our annual dividend from $0.84 per share to $0.50 per share beginning with the third quarter of 2023, which approximates our forecasted taxable income over the next year or two. This reduction in dividend will lower the usage of AFFO and increase available cash by approximately $42 million on an annual basis. AFFO generated during the third quarter of 2023 was $40 million or $160 million on an annualized basis, adequately providing for dividend coverage and foreseeable capital needs. Turning to the balance sheet. As we've mentioned many times, a key component of our leasing formula is that our balance sheet and liquidity remains strong. A differentiating factor as prospective tenants scrutinize the capital structure of a potential future office building and the landlord. We believe this differentiation among office product is driving increased market share for the highest quality, placemaking assets and well-capitalized landlords. We covered the five-year $400 million financing activity that occurred early in the third quarter in detail in conjunction with last July's quarterly call, which addressed the majority of our 2024 final debt maturities. Through a bond tender offer, we utilized the majority of the new financing proceeds to repurchase approximately 350 million of the maturing 400 million 2024 bonds and the remaining 50 million in proceeds was used to pay down our $600 million revolver. We currently anticipate repaying the untendered $50 million balance of the 2024 bonds that mature in March of next year using either disposition proceeds if available or our line of credit, which currently has around $450 million of capacity today. Looking into 2024, we anticipate exercising extension options were applicable on outstanding bank term debt. And therefore, we don't anticipate having any final debt maturities in 2024. That said, we will remain flexible. Any proceeds generated from dispositions or other financings will be used to pay down our bank term debt. In regard to our outlook for 2023, as we've seen in all the headlines, the general expectation in the market is that interest rates will remain now higher for longer. Therefore, although we still feel good about the core FFO per share range that we've previously provided, that being $1.74 to $1.80 per share, interest rates have not declined as previously anticipated on forward yield curves. With these higher interest rates, we anticipate ending up at the lower end of our previously provided core FFO per share guidance range for the year, which is in line with FactSet's consensus estimates. As most of you know, we typically publish annual guidance after we've completed the budget cycle during the fourth quarter each year and announce our core FFO guidance for a new year in early February during our quarterly earnings call. We expect to follow the same process for 2024 guidance. As George and Brent noted, our core business that is leasing has been strong throughout the year with over 2 million square feet of executed leases completed thus far for this year, including what we expect to be the highest amount of new tenant leasing since 2016. I couldn't be more proud of the team having eclipsed 2022's new leasing volumes with two months still remaining in the year. While we have a few known move-outs in 2024 and we've addressed our largest lease renewal with US Bank, and we are seeing good activity on most of the other available spaces. Excluding now know -- the known outcome of US Bank, we have approximately 10% of the portfolio remaining to expire between now and the end of 2024. Offsetting this, we currently have also a 1.1 million square feet of leases in abatement are yet to commence. That said, higher interest rates, the possibility of a few small dispositions to pay down debt and downtimes between a handful of lease expirations and corresponding new lease commitments will weigh on 2024 results. We expect to provide complete guidance for 2024 in early February. With that, I'll turn the call back over to Brent for closing comments.
Brent Smith: Thank you, George, Chris and Bobby. At Piedmont, we continue to be encouraged by the resiliency of our leasing pipeline. As we've talked about today, the success we've had year-to-date is tremendous. Having now eclipsed 2022 new leasing volumes and with two months still remaining in the year and given our strong start to the final quarter, we feel confident in achieving the annual lease percentage and same-store goals that we've outlined previously. Same-store NOI is expected to be between 0% and 4% up with cash NOI at the higher end of the range and accrual basis NOI near the lower end. Certainly, the elevated interest rate environment will weigh on earnings and FFO and the financing environment continues to mute transactional activity. Despite these headwinds, we believe that the flight-to-quality occurring in the market, combined with Piedmont's strategy of providing premier workspaces at meaningfully lower rental rates versus new construction, will continue to resonate with the market and lead to leasing success. With that, I will now ask the operator to provide our listeners with instructions on how they can submit their questions. We will attempt to answer all your questions now or we'll make appropriate later public disclosure if necessary. Operator?
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is coming from Ray Zhang with JPMorgan. Your line is live.
Ray Zhang: Good morning guys. Thanks for taking my question and congrats for the downtown lease with U.S. Bancorp. On that, that's my first question. Any color you guys can give on the CapEx on the renewal at that space? I think you guys gave a range historically, but I just want to get a little bit more color on this specific one, if you guys can?
George Wells: Ray, this is George Wells, and good morning. That transaction, which as you've been following, has been going up for multiple years, and that user has also been going through a fair amount of space planning and trying to reimagine what the workspace is going to look like. So that being said, we ended up having, I would say, more of a new type of tenant improvements, so they can redesign their space and encourage their employees to come back to the office. But it certainly was well within the range of market that you would expect on a year-over-year basis and not too far from what we've reported in ourselves.
Bobby Bowers: I would add, Ray, thanks for joining this morning. Again, as we've talked about previously on a cash basis, it was basically flat, which was positive, but there was no free rent in the transaction. So, as George alluded to, kind of, I would consider market level TIs, approaching that triple-digit figure. However, there was no free rent in the transaction. And so I think that was ultimately a positive. Also taking a step back as we think about kind of what we had guided to the Street on that, we had thought initially it would probably be 50-50 in each location. Turns out that it was 100% Downtown and unfortunately, a give back in the suburbs. But I think as we think strategically about the market, there is much greater depth from a tenant need, if you will, in the suburbs than Downtown right now and demand is much stronger. As we witnessed just this quarter, getting a 32,000 square foot lease in that suburban market and seeing continued good demand. So, if we were going to get back space, I think that's overall the positive spin to the ultimate outcome there. And we feel pretty great about keeping U.S. Bank deep relationship, strategic financing partner of ours as well, and they're going to be really supporting downtown Minneapolis, which is important right now as the city recuperates from that. But great news is we're also going to have the best building in that submarket, certainly from existing build top three with a phenomenal amenity at the top, which you will think to loves and a light refresh on the lobby just to continue to improve and enhance the retail experience which we think is going to continue to be able for us to garner the best asset and good demand downtown as well. So what may be musical chairs, they'll be coming to our building, which is often what we're seeing now across the country and in our markets. I'll pause there any other follow-up question.
Ray Zhang: Yeah. Just to follow-up on that, on the suburb space. So it sounds like you wouldn't be out of service and kind of just in the market and getting new tenants, that's the plan for the suburb space for now? Or is it -- or maybe I missed it, it will be out of service out there?
Bobby Bowers: That's a great question and follow-up, Ray, and thanks for letting me tag team on that. The Cargill building or as we call it Excelsior Crossings, as you know, they're going to be vacating first day of next year. That space will likely be put into redevelopment in 2024. It's a, I'd call it, a little bit larger floor plate in Meridian Crossings building, which is smaller, which suits is -- The Meridian building a little bit better. We think it may have a little bit more lease-up velocity. So the Excelsior building, we're going to put into redevelopment. It needs a light refresh call it, maybe $5 to $10 a foot. And then we'll start to market the building more fruitfully into the market. And we've already seen actually good traction at our Meridian Crossings building. Obviously, we're planning for a little bit more of amenity set garden for one user. We're pivoting on that. So we're not really sure exactly if we will or will not put it in the redevelopment pool, but we're in the mindset of making more of a multi-tenanted amenity set. The good news is we've actually already seen good traction at that property, and we've signed a 10,000 square foot backfill lease already with the user as part of our October total that you've seen. So overall, again, we think that building is really well positioned at the corner of 494/35 West for signs, very, I'd say, accessible right off the highway, walkable to number of restaurants more importantly, probably in the Minneapolis market. It's a five and 10-minute drive to France Avenue and pretty much any restaurant you can imagine. So, ultimately we think that gets great traction in the marketplace, along with our Excelsior building. But at least for now, we know the Excelsior building will be going into the 2024 redevelopment pool.
Ray Zhang: Got it. And if I may, just one follow-up, since we touch on US Bank and Cargill any update on the Amazon lease? Any incremental color you can provide? I know they have a couple of different leases and different spots and just any early conversation or color you can provide will be helpful.
Bobby Bowers: Absolutely. Just like our Meridian buildings, which is LEED Gold, our Amazon building, in Northern Virginia is also LEED Gold. That's where Amazon takes about 60,000 square feet. And as we've noted, they will be vacating at the end of the first quarter. That said, we do have actually good velocity, if you will, on Tour Activity and traction to backfill that, including a number of large users for all of the space. So I think that's something we continue to feel. We see decent activity in Nova, and that building is really well positioned on top of Metro, walkable to Ballston Quarter, the Hockey Rink and a lot of the retail that sits around there and lunch options located within the building as well, so really well positioned there. On the LEED Gold building in Dallas that they occupy the Galleria, Amazon's larger position there, about 270,000 square feet. I'd say they're very active in this space. It's a little early to tell. There's no new development in the submarket for them to go to, and they really prefer to keep their workforce in that submarket. So we feel pretty good about our renewal in place. But exactly how much unclear, and we'll probably expect to get more engaged here over probably towards the end of the first quarter of next year.
Ray Zhang: Got it. That will be it.
Operator: Thank you. Our next question is coming from Nicholas Thillman with Baird. Your line is live.
Nicholas Thillman: Hey, good morning, guys. Maybe starting with George just talking about overall demand to the market, it seems as though Minneapolis is picking up a little bit of velocity that might just be a little bit more of just vacancy in the market that you guys have in the portfolio now. But just ranking across the market, it seems like Atlanta and Dallas are most active, but just maybe give some color on what activity on the ground on some of the other markets.
George Wells: Sure. Good morning. Thank you for joining us. I would say, you mentioned Minneapolis first. I mean we've been -- that portfolio has been very stabilized for many years, it being 90% leased or better for several years. We've been pretty ecstatic about it. So we're finding it a chance to come back to the marketplace. I would say, the brokerage community and the tenant prospects are certainly taking a close look at our portfolio. We're excited about the large transaction that we land another the headquarters location down one of our properties on as CRESCENT Rich. But that being said, we don't have a lot of spaces available, it's hard to see a lot of deal flow. However, we've made announcements in terms of changes that are happening in our portfolio from a tenant mix perspective certainly, the board is not about where US Bank is heading from a rating crossing perspective. We're starting to see deal activity just as Brent has mentioned a minute ago. So it certainly is picking up. That being said, most of our rates that continues to be in Atlanta and Dallas, where we have the bulk of our activity. And it's been a story that we've seen from quarter-to-quarter I will tell you though, we do have some expirations happening in 2024 in Orlando, but we're really excited about some of the backfill opportunities that we're seeing there. Heading up to Boston, again, we're fairly stabilized up in that marketplace, the largest block of space that we have up there is our 25 mall road, which want more recently for a building in its size. It has been re-imagined and renovated. It's been well received in the marketplace. So while I would say the large users are not really active in that marketplace. We're seeing a fair amount of velocity from small users and we're excited and making some announcements there over the next few weeks
Brent Smith: I could pick up from there and continue on to New York? Or are we seeing actually, the 60 broad or vacancy sits at the top of the building. It's a 12,000 square foot floor plate. Again, we've got a lobby that's going to be completely remodeled and completed in about two months or so. So we're already showing off the new finishes, the new stones in place looks fabulous. But as we've talked about that small, the inside tenant, that floor plate perfectly, and we're seeing good leasing traction. As I noted last quarter, we actually took a tenant out of 55 broad. It's going to convert to resi and put them in our building, and we continue to see good philosophy there. TC is probably the district are most challenged market by far, as George noted, and I would think that's going to continue just given the vast amount of space. I think that why we continue to be, I think, more optimistic on our philosophy in Minneapolis is because there's a large -- one of the largest landlords there. We're well equipped from a capital standpoint and we really can bring a fresh different appearance, hospitality focus, and you've heard us talk about tenant engagement, and we're really light years ahead of most other office operators in that market, so we really can compete effectively TC is a little bit more of a difficult market to compete in. There's a lot of product, tougher to differentiate. And so we do think it's probably our most challenged market. I'll pause there. Any other follow-ups?
Nicholas Thillman: Yes. Yes, that's helpful. Brent, maybe just like an overall strategy going forward or maybe longer term, because it seems like investment sales market is a little locked up here. But it seems like Houston is an exit. I mean, what percentage of the portfolio do you view as core on a longer-term basis? Maybe if you look five, seven years out, like would be a long-term hold there. Are you viewing like Minneapolis, New York or Boston is core to Piedmont strategy going forward? Or do you think those would be eventually ones that you would look like to exit over time?
Brent Smith: Great question, Nick. I think we're always trying to improve the portfolio incrementally. That's what we've historically done, selling, call it, $300 million to $500 million a year on average. Obviously, the disruption in particularly the debt capital markets has made the transactional activity more challenging. But I think as we look further out, the strategy that we've continued to have to focus on the Sunbelt likely lend itself, as we've also talked about some sort of disposition at some point for our New York building, which would be great proceeds to redeploy. And as I've also talked about on prior calls, given some of the good leasing activity we've seen at the buildings that are more occupied in Minneapolis, if we were to get a little bit more leasing success there. I think that would be a market where we compare backfill of the exposure, as well as we have continued discussions on just mature assets, inbound, some of it in the Sunbelt, but most of it in the northern markets and we'll continue to look to redeploy that. If you wanted me to put a percentage on what portion of the portfolio is core today, I'd probably put it in the 80%, 85% range. We've got a little bit of work to do and we acknowledge that in the north. And when the markets come back, will be effective at continuing to redeploy into the Sunbelt.
Nicholas Thillman: Very helpful. Thanks for the time.
Operator: Thank you. [Operator Instructions] Our next question is coming from Dylan Burzinski with Green Street. Your line is live.
Dylan Burzinski: Hey guys. Thanks for taking the question. I guess, just going on portfolio percentage leased today versus how you guys think about it moving into 2024, I think you guys alluded to only 10 percentage points of rent expiring over the next 18 months. And given the strong leasing activity thus far, I guess, do you think it's safe to say that leasing percentage has maybe bottomed here? Or I guess, given the US bank news in the suburban location that there should -- there may be some pressure here as we look out to 2024?
Brent Smith: Great question, Dylan. I think that's always a difficult thing with office companies is the ins and outs, the tenants is complicated and of course, when they come in, they don't necessarily always start cash paying. I think if we focus on occupancy, as you pointed out, we do have Cargill vacate beginning of next year and then middle of next year, the US bank vacate. We've got a great backlog of leases that are about 0.5 million square feet of yet to come in, another 0.5 million square feet that's not cash paying, but has commenced, so that will flow in and kind of, if you will, backfill some of from an FFO perspective. And depending on what assets we put in the redevelopment pool, that would obviously impact lease percentage. But let's assume for now that everything stays in the current portfolio operation pool, I would expect you see occupancy reach its bottom middle of '24 and we'll continue to fight that with great leasing that we continue to have and the pipeline that George and the team have talked about. But I would anticipate that's probably where the trough lies for the portfolio.
Dylan Burzinski: That's helpful. I really appreciate that. And then I guess just going back to the comment on the Houston transactions and the buyers not really being able to get comfortable with the capital structure, but were there any discussions of possibly offering seller financing to them?
Brent Smith: A good question as well. And I think in this market, we've continued to see the very limited transaction activity that can occur often requires that type of financing. To your point, we did provide seller financing up to about 50% LTV at a market rate. We were not in a position we felt to go higher than that, and frankly, didn't make economic sense in our mind. The buyer, obviously, is not able to come up with the equity given that amount of debt proceeds. So we parted ways, but we are going to continue to canvass the market and offer seller financing on the asset. This go around at roughly 50%, call it, 55% LTV again at market rates. And we'll evaluate the receptivity hopefully here is positive over the next few quarters.
Dylan Burzinski: And are you able to share sort of what that market rate was for that Houston asset?
Brent Smith: Interest rates, typically, we've seen from, I'd say, more gateway markets for seller financing in the 5% to 6% ZIP code. We were more in the 7% to 8% SIPCO given the tenure of the asset and, frankly, the suburban nature in Houston on the quality of the asset. Great buildings, great tenancy and long-term wall, but we felt like that was a reasonable leverage profile, and that was not -- they were not able to close it at that level.
Dylan Burzinski: Great. Appreciate the detail here, guys. Thank you so much.
Operator: Thank you. We have reached the end of our question-and-answer session. So I will now turn the call back over to Mr. Brent Smith for his closing remarks.
Brent Smith: Thank you and I appreciate everyone for joining us today. I hope everyone has a happy Halloween. You've heard and receive more treats than tricks from us today, but certainly happy to continue the discussion. We'll be at NAREIT at the conference in L.A., November 13 to 15. If you're interested in sitting down with management, please reach out to Bobby Bowers or Jennifer. And really again, we look forward to having those further discussions. I do believe the office sector has been oversold. We're a particular name in that, and we'd love to engage and help explain why we believe that is, and Piedmont is a great opportunity to come into the stock. Everyone have a good day. Thank you.
Operator: Thank you. This concludes today's conference, and you may disconnect your lines at this time, and we thank you for your participation.